Operator: Ladies and gentlemen, thank you for joining us today. My name is Sierra, and I will be your conference operator for this session. Welcome to Grab's Third Quarter 2024 Earnings Results Call. After the speakers' remarks, there will be a Q&A session. I will now turn it over to Douglas Eu to start the call.
Douglas Eu: Good day, everyone, and welcome to Grab's third quarter 2024 earnings call. I'm Douglas Eu, Director, Investor Relations and Strategic Finance at Grab. And joining me today are Anthony Tan, Chief Executive Officer; Alex Hungate, Chief Operating Officer; and Peter Oey, Chief Financial Officer. During this call, we will be making forward-looking statements about future events, including our future business and financial performance. These statements are based on our current beliefs and expectations. Actual results could differ materially due to a number of risks and uncertainties as described in this earnings call, in the earnings release and in our Form 20-F and other filings with the SEC. We do not undertake any duty to update any forward-looking statements. We will also be discussing non-IFRS financial measures on this call. These measures supplement but do not replace IFRS financial measures. Please refer to the earnings materials for a reconciliation of non-IFRS to IFRS financial measures. For more information, please refer to our earnings press release, remarks and supplemental presentation available on our IR website. And with that, I will turn the call over to Anthony to deliver his opening remarks before we open it up for questions.
Anthony Tan: Thank you so much for joining us today. Third quarter 2024 was a strong quarter for us. The investments we have made or been making across the business drove an acceleration of our On-Demand GMV growth year-on-year. We continue to leverage our platform scale to drive profitable growth, of group adjusted EBITDA more than tripling year-on-year to reach another record high of $90 million, and our 11th consecutive quarter of adjusted EBITDA improvement. Monthly Transacting Users, a leading indicator of future platform growth, also recorded its sixth sequential quarter of growth, growing 16% year-on-year to 42 million for the quarter. On the back of these strong results, we remain confident about Grab's growth potential and believe that we are in pole position to capture the opportunities of growing high value transactions and strengthening domestic demand. And we are committed to doing this while ensuring profitable growth and sustainable free cash flow generation, improving operating leverage and enhancing shareholder returns. As always, I would like to convey our sincere gratitude to our fellow Grabbers, our customers and partners for their contributions and support in driving these results. With that, I open the call for questions. Operator?
Operator: Thank you. We will now start the Q&A portion of the call. [Operator Instructions] Our first question today comes from Pang Vitt with Goldman Sachs. Your line is now open.
Pang Vittayaamnuaykoon: Hi. Good morning, management and congratulations on a strong quarter. Two questions from my side. Number one, we've seen a meaningful pickup in your growth rate particular in your delivery business, growing 16% year-on-year in constant currency terms and also a very nice pickup in margin as well. Do you expect this growth to sustain? And what incremental initiatives are you putting in place to drive this in fourth quarter and also especially going into next year 2025? That's question number one. Question number two, could you also share the latest update on competitive landscape, especially in Indonesia? Have you seen material change to market share as we've seen your main competitors spend more in recent months? Do you expect this to impact your margins going forward?
Alex Hungate: Thanks very much, Pang. This is Alex. I'll take those questions. So first of all, we are seeing strong growth momentum in October and November to date, particularly the push for affordability and high-value services for customers. So part of the laddering strategy that we've talked about before. And then GrabUnlimited continues to grow strongly to our loyalty program has hit another all-time high. I guess one key callout that we focused on in some of the slide materials that we sent out earlier is food to mart cross-sell. So mart has been growing 1.7x faster than food in the quarter. And then we're getting almost 5x higher order frequency amongst users who transact in both food and mart with more than 2x higher retention rate as well. So we expect that cross-sell to continue to be a strong source of growth with deliveries. The other thing that we're doing is that we are helping merchants to attract customers to dine out at the store in addition to the [reditional] role that we've done in helping them with food deliveries and that's driving strong GMV growth. And of course, we've got a lot of available TAM there because in most restaurants, the majority of the TAM, majority of the revenue that the merchant is trying to manage is people coming into the store. So that allows Grab to play an important role there. And with the strong growth in advertising revenues that you've seen, that helps us to monetize that with the merchant. Mobility is also pacing strongly as you saw, so 30% year-on-year GMV growth from high-value Mobility ride. So these are the new services that we've launched, particularly advanced booking, which is very popular with both travelers and executives. And we think that, that has a lot of upside. It's a newer set of products than our affordability products and therefore, gives us a lot of scope to grow TAM there. It's high margin, and it can produce higher driver earnings. So it's a very good, healthy new source of growth for our marketplace. And then finally, on the bank side, we're optimistic. As of November, we now have lending products in all three markets. So it's the first time that we've been able to lend in all three markets in addition to lending through GFin which has been our traditional way of lending. You will have noticed in our prepared remarks, I just want to emphasize actually, that the trading update, maintaining our prior expectations of driving another quarter of sequential growth in both on-demand segments heading into the fourth quarter. So that will set us up strongly for 2025. The second question was about competition, especially in Indonesia. Okay. So well, Grab Indonesia is enjoying good sustainable growth. For us, Indonesia started to be positive EBITDA more than a year ago, as you recall. And since then, we've grown Indonesia's EBITDA, Indonesia's revenue and Indonesia's GMV, both year-on-year and quarter-on-quarter. So it's a good progress financially across all fronts. We have noticed an increased spend from our competitor in Indonesia, as you noted in your question. I think the reliability of our services and the new services that we've launched are getting good traction with customers. You can see that very clearly in the data. So overall, order frequency is up year-on-year in Indonesia, while retention rates have remained roughly stable. So that means that the lifetime value of our Indonesian customer base is improving. And in particular, the deliveries average order frequency has accelerated strongly quarter-on-quarter. So that's even while competitors are spending a lot more than us, we are able to generate that great traction with our customers. And because of our regional scale, where you'll recall, we're about 4x larger than our next biggest competitor in the region, we are getting better operating leverage across our cost base. So we don't comment on category position country by country, but I can confirm that we're still approximately 4x larger than our next largest competitor in the region. So then just to wrap up on EBITDA, we do remain committed to driving that profitable growth. And so this quarter is a strong proof point for that. Our intent is to continue to grow absolute EBITDA, so based on the updated EBITDA guidance that we've shared today of between $308 million and $313 million for the full-year 2024. This implies another strong quarter of EBITDA generation in the fourth quarter. Thanks, Pang.
Pang Vittayaamnuaykoon: Thank you.
Operator: Our next question comes from Mark Mahaney with Evercore. Your line is now open.
Mark Mahaney: Okay. Thanks. Two questions, please. One, on the incentives. Could you just talk about the outlook for incentive spend going forward? Are you at a point now where that should be coming down sort of consistently as a percentage of GMV? Or is that something that's just set as to whether that's a reasonable expectation or not? Or you want to continue to be able to pull in and pull out as necessary on that metric? And then on the MTU growth, any color on the sources of that MTU growth. So help us think about how sustainable that kind of mid-teens growth? It looks like it's been consistent the last couple of quarters. Are there good reasons to think that it should be consistent going forward over the next year? Thank you very much.
Alex Hungate: Thanks, Mark. Let me pick up those questions. So on incentives, as you know, over several years, our incentive percentage of GMV has been coming down. So you're right, the overall trend is there. And that's because we are able to get more and more efficiency. And of course, we're using a lot of AI targeting now that we didn't have a few years ago too. So there's a lot to be optimistic about in terms of the overall trajectory of incentives. From quarter-to-quarter, it can go up and down. And I think particularly when we launch new products, as we have been doing at quite a steady pace this last two quarters for omni, for example, where we want to generate sustained consumer behavior to look to the Grab app for their dining out choices as well as traditionally what they've done for delivery. Changing consumer behavior does require incentives. And similarly, when we launch something like advanced booking to get consumers to use the app in a different way ahead of the time at which they want to make the ride, that also requires changing consumer behavior. So we will use incentives from time to time to generate the momentum behind these new ways of interacting with the app. But those will peak at different times and then also come off. So those are not long-term. The MTU growth is encouraging. We found that the affordability push or the bottom of the ladder of the ladder pricing strategy that we have is driving a lot of first-time users into the marketplace. And then, obviously, it's our marketing objective to capture them and keep them coming back and drive retention. And I think the big upside for MTUs that we see is frequency because if you look at our annual transacting users. It's a very large multiple of both our monthly and our daily transacting users. So a lot of our job is to, yes, bring new users in with affordability but then to ride up the frequency curve with them to bring them from annual into monthly, from monthly into daily. And so there's tremendous upside for us. At the moment, our monthly transacting users is only about 5% of the Southeast Asia population. And then the annual transacting users is something like 15%. So still lots and lots of upside to go for us with this affordability strategy that we have. And then, of course, plenty of opportunity to continue to drive good margin because of the ladder strategy where we have a growing premium customer base as well.
Mark Mahaney: Thank you very much.
Operator: Our next question comes from Ranjan Sharma with JPMorgan, Singapore. Your line is now open.
Ranjan Sharma: Hi. Good morning and thank you for the presentation, and congratulations on the results. Two questions from my side. Firstly, on the MTUs. Great to see the traction in building momentum there. Do you have a sense on what the target market could be in Southeast Asia, what the profitable number of MTUs could be for the industry over the next few years? The second question is on your free cash flows and buybacks. Now that you have $5.8 billion of net cash liquidity, plus you have highly free cash flow – highly free tax limiting franchise. Can we expect further increase to the buyback program? Thank you.
Alex Hungate: Thanks, Ranjan. Let me take the first one and Peter will take the second one on the free cash flow and buyback. I started to get into answering your question a bit earlier on the response to Mark. Our monthly transacting users is around 5% of the total population in Southeast Asia. So we're lucky to be in a region which has lots of upside, lots of growth ahead of it. I think notwithstanding what's happening in the U.S., I think Southeast Asia has been one of the regions which has benefited from the so-called decoupling. We expect that to continue. We've got strong leadership in a lot of – political leadership in a lot of the markets and a lot of optimism in those markets. So up 5% on MTUs and only something like 15% on ATUs, we think that there's considerable upside, not just in the short-term, but importantly, the long-term with this young population. So we'll continue to engage with them. The brand is strong. You can see from the positive uptake of our financial services offerings that the Grab brand seems to be attractive, not just in the on-demand space, but in some significant adjacencies to. And so the new financial services offerings will also help us drive MTUs in a whole new dimension.
Peter Oey: Ranjan, on your question around cash and buyback. Let me just also clarify that on the net cash liquidity, when you look at that number, it does include deposits, the bank deposits. And in our prepared remarks and also in our earnings, we had over $1 billion of deposits that we generated from the two banks. But also remember that also excludes loans, and we have restricted cash also as part of that. So just take into the mix, when you look at our net cash liquidity, we did generate free cash flow in the business in the third quarter. Also at the same time, we generated about $138 million with just the free cash flow in the business and roughly $76 million if you look at it from a trailing 12 months. So it's working, what we're doing from a capital – from a cash-generation business. As you remember, we've always had a three-pronged strategy when it comes to our bottom line, which is one driving adjusted EBITDA, check; second, positive free cash flow check. And also we – from a net income perspective, also in this beginning journey of getting there. Now how did that translate to buyback to your other part of the question? Maybe the way to answer that is just to refresh the capital allocation framework because that's how I think about it. And what's that? It's really a three strategy from our perspective. One is organic growth, organic investment is critical for us. And you're seeing that being played out. Third quarter is a really great prime example where the investments that we're making in product set that Alex talked about earlier, is seeing the traction, both from a top of the funnel, but also we're seeing it in frequency and retention, and that drives lifetime value for us as a business. So we're going to continue to make those investments in the organic side of the business as the highest priority for us. We'll look at other opportunities inorganically. However, those opportunities will be at a very high bar for us, and that will continue also. Now where we do have excess liquidity, we will look at opportunities to return them to our shareholders. Now on our buyback program today, we're only about – roughly about $190 million out of the $500 million mandate that we have today. So we still have some ways to go. So we're going to continue to execute that. And as opportunities come up in the future, if those opportunities underwrite ones, we'll revisit our buyback program. But at this stage, we're committed to the $500 million and we still have about another $300 million to go to complete that buyback program. Next question please, operator.
Operator: Our next question comes from Jiong Shao with Barclays. Your line is now open.
Jiong Shao: Thank you very much. Congrats on the very strong results. Two questions as well. Firstly, I would love to learn a bit more about your fintech business. I know you started with Digital Banking Singapore lending out loans to make money. And now all three digit banks are offering credit products now. Could you sort of elaborate a bit on the borrowers profile? Like who borrow from you? What kind of the typical terms and expand a bit, please, on the acceleration in growth rate from this business next year, I believe you highlighted that before, it's probably one of the most important drivers for revenue reacceleration. And so my second question is on the delivery margins, it's great to see you have made a lot of progress, I think, 50 basis points increase sequentially, if I'm not mistaken, to 1.8%, but that's still quite a bit below of 4% with – could you elaborate a bit on what kind of growth trajectory for your advertising business maybe? You noted earlier about in-store monetization, again, as some of us know that Chinese peer is doing a great job there in China. Could you talk about how do you plan? When do you plan to monetize the in-store part of the delivery business? Thank you very much and sorry for the long questions.
Alex Hungate: Thanks, Jiong. That's great. Let me start by talking about financial services. Just explain a little bit about the lending in particular, which is the focus of your question. So you could see the strong loan dispersals in the quarter, 38% year-on-year, 13% quarter-on-quarter. So we're now at $565 million in the third quarter. So if you approximately annualize that $2.2 billion. So the pace of the lending is going up, and that's because we are layering now the lending through the banks on top of the existing GFin business, where the lending already had a healthy underlying growth rate. Let me start with the GFin business to understand, so you can understand that a bit better because that's a long-standing business. So primarily lending to partners and users across all of the markets, so it's ecosystem based where we are benefiting from the deep insights we have into the user behavior on the ecosystem with a very sophisticated, large language model-based lending model, which are now in just something like 120 different variables from the ecosystem lending decisions. So it's a very different, much more multidimensional type of database than traditional banks would use. That allows us to lend to people like drivers and other gig workers who traditionally have not been well served by banks. So many of them are either unbanked or underbanked because they don't have traditional pay slips. And that's very much in line with our mission as an organization to support them. The penetration of the driver lending by GFin is good, but the models are improving all the time, so we can continue to lend on a risk-adjusted basis. And the risk-adjusted returns overall from GFin are comfortably above the cost of capital for the group. The penetration of lending to merchants is relatively low at the moment. So that's an area where we have a lot of upside. And when Peter answers the second part of your question, you'll see that we have more and more services that are targeted at the merchant and helping them being successful. And the good thing about us as a data science company is that as we provide more and more services to merchants that gives us more and more variables for our merchant lending model, which helps us to – with the same risk appetite start to lend to more and more merchants across all of our countries. So that's the GFin lending model performing well, growing well and producing good risk-adjusted returns. The recent addition on top of that, which is why you're seeing the acceleration of lending is that we're also be able to lend through the banks. The banks are also focused on people who are underbanked or unbanked. And that population is very large in Southeast Asia by some external studies, we estimate like two-thirds of the population of Southeast Asia are either unbanked or unbanked or underbanked. And because we – again, we have very low cost of distribution to them, they are existing users of Grab and therefore, they have an affinity with the brand and because we see a lot of information from them, for example, what they're doing on pay later, whether they're commuting to work, where they live, all these kinds of things we can impute from the behaviors that we see we are able to lend to them. The first lending product, which is now live in all markets, including Malaysia as of this month, November, is the FlexiLoan product, distributed very cost effectively. And then with flexible repayment terms from the point of view of the consumer, it has an extremely high NPS, something like 65. So most banks are hovering at around zero for NPS. So a product with 65 NPS is quite unusual for banking. And so that makes us very successful in terms of the uptake. We are very carefully whitelisting users for that product using the data models. And that means that we will maintain a very careful look in terms of risk appetite. But overall, between GFin and the banks, our nonperforming loan ratio is still around 2%. So that's extremely good performance from those credit models. Then on – obviously, to fund that, the benefit of having a banking license is we get access to very low-cost deposits. And what we've been delighted with since the launch of all three banks is our ability to attract those deposits. We've been able to bring in deposits much faster and with less cost than we had even planned. So you've seen that the positive momentum across GXS Bank in Singapore and GXBank in Malaysia, where customer deposits have grown 50% quarter-on-quarter. So over $1 billion now in the third quarter. And then Superbank, which is the Indonesian bank, which only just launched in July, hit 2 million accounts by October by last month. So a really tremendous uptake. So we are able to raise deposits at a very low cost. And therefore, because of the focus we have on data science and the lending model, you can see very clearly that we can continue this very positive data flywheel for lending. Peter, do you want to...
Peter Oey: Yes, sure. Yes. Jiong on your question around Deliveries margin, you asked about the trajectory. If you look at our Deliveries business, you're seeing this evolution actually across all the different products that we’ve introduced in the last – over the last 12 months, especially. It's been very intentional and part of this, Jiong, is to drive a few things. We're driving the top of the funnel and pushing the number of transactions between engagement that are that our users are using our delivery products. The more products that we are offering them, the more that we can offer more variety and also drives transaction. A great example of that is Saver, Saver Deliveries, which now accounts for about a 1/3 of our Deliveries transaction today, and it was about 14% same period last year. The other part that we're also driving is also frequency. Frequency is really important for us. So we're doing that in a couple of things, just to give you some examples. So for example, in our ability for our subscribers, which is a really important part of our Deliveries business, 1/3 of our Deliveries today are coming from subscribers, the level of frequency there is way higher than what you're seeing in other parts of our business today. Today, if you look at our [indiscernible], GrabUnlimited subscriber, you're spending 4x more and your frequency is 3x higher. We're also doing a lot of selling between our food and our mart business also, and that's driving frequency. If you are both a GrabMart and a GrabFood user in the Deliveries, your frequency is 5x higher then if you're just using food-only. All this is also leading to retention. So you've got frequency, then that drives also retention for us, which is really critical. And if you're a subscriber, our retention there is 2x higher, which is very similar to also that you're seeing from our GrabFood and GrabMart cross-sell also. So I'm highlighting these examples because these are critical components for us in driving engagement in our Deliveries business, but also at the same time, also continuing the monetization. You had a question around monetization. These are all things that are stacking up in terms of monetizing our users through all these different products that we have. And this is a critical part in also driving segment margin also. Well, we are committed for the business is to continue to drive absolute dollar EBITDA in our Deliveries margin and also to our long-term margin targets, but you will see quarter-to-quarter for us making investments in our Deliveries business because we are driving all these different elements, whether it's engagement, frequency, retention also. And this is really important as we continue to grow our Deliveries business. Third quarter was a very important quarter for us. It saw our GMV acceleration in our Deliveries business. It grew 16% on a year-over-year basis. We added more users than before also in our Deliveries business. And also, you saw our segment margin also hitting 1.8% versus last quarter at 1.5%. So hitting all the right things, and we're going to continue this momentum in our Deliveries business.
Alex Hungate: Yes, that's great. And I'll just build on that for the Advertising part. So yes, advertising revenue is increasing. So I remember only a few quarters ago, we celebrated crossing $100 million, now $185 million in revenue for Advertising. And the percentage of Deliveries GMV has increased from 1.4% in the prior quarter to 1.6%. And that's up from 1.1% in the prior year period. So you can see really strong momentum. A lot of that is driven by self-serve advertising capabilities. We are continuing to make it easier for merchants to both target on our platform and also get good line of sight of the results. And for self-serve, we have a cost per order form of advertising. In other words, you don't pay unless you actually get orders through the platform. And that's very popular with the smaller merchants because they're typically less sophisticated in terms of how to think about cost per click and some of the other models. I was just in Indonesia two weeks ago and in Manado. And they had – I met with a burger chain entrepreneur and all of his advertising was done through Grab, both for delivery and for their dining in, which was really powering great success. And he had also taken a loan through the platform. This guy didn't have any account management. So he had actually proposed the loan, I presume, through a whitelisting process by us on the back end and taken down the loan in order to order the beef to manage his working capital for his supply chain for beef, which was obviously his most expensive ingredient. And that was allowing him to grow even faster and open more outlets. So I think self-serve is really, really a key part of our strategy because many of our merchants are small and many of them are in far-flung places like Sulawesi.
Operator: Our next question comes from Sachin Salgaonkar with Bank of America. Your line is now open.
Sachin Salgaonkar: All right. Thank you for the opportunity. I have two questions. First question, I wanted to understand a bit more on what could we think as a steady-state delivery GMV growth? For last few quarters, Grab is growing in the range of 9% to 12%. And given the fact that we are now looking to make an MTU push with the focus on first-time users, should we see it accelerating. For example, an emerging market like India has GMV growth on food at 20%. So is that something what the Southeast Asia could eventually go to? So that's question number one. Question number two, a couple of your peers are talking about the consumption slowdown and impact on that. I just wanted to understand how you guys are looking at it? Thanks.
Peter Oey: Maybe I'll take the second one first around consumption slowdown. If you look at Southeast Asia, it's still underpenetrated, Sachin. I'll quote a third-party report that was put out last week and what they're saying is over the next five years in Southeast Asia digital economy, both the mobility and deliveries is growing at double-digit CAGR growth. And we're very bullish actually on Southeast Asia. We're not seeing any slowdown in terms of top of the funnel for us. If anything, we're seeing an acceleration of that. And part of that also is the new product sets and all the things that we just talked about earlier during the call. So we feel that from a consumption perspective, from a macro perspective also, it's looking strong for Southeast Asia. Demand looks great at the moment, and October was strong for us. We see Q4 is a very strong season for us on tourism. We're seeing tourism increasing in Southeast Asia also at the same time. So all these things are pointing for us, at least anyway from our perspective, a strong Southeast Asian economy as we continue to penetrate what is a very underpenetrated market for us, both in all the products that we have today.
Anthony Tan: Yes. I'll just jump in there. Like what Peter said, we're actually very optimistic about the long-term growth outlook, especially for the region, given strong inbound tourism just recently we were with the Prime Minister of Thailand, and the cabinet ministers, several of them. And we could see – I mean, it's like the movie, Everybody Loves Raymond. This one is everybody loves Thailand. And there's a lot of people coming in and we are really blessed to see that strengthening of inbound tourism that's supporting our growth. We also see it not just with our own numbers, but we also see across reports, if you look at Temasek, Bain, Google report, it's still very nascent right now on the penetration levels. And we actually, if you look at it, the report, it actually expects double-digit growth of CAGRs to be achieved between 2024 to 2030 on both mobility and food deliveries to your question. So we are super focused to capture this growth. Alex talked about the affordable, the high-value offerings on-demand. Alex talked about the advertising and the omni components and also the financial services across our ecosystem. So our take is we actually see and are very optimistic about this region's long-term growth outlook.
Sachin Salgaonkar: Thank you. Just a quick follow-up to your despite under penetration, we are seeing a growth on food GMV in the range of 10% to 12%, is that a steady-state growth? Or we should expect a 15% growth for the industry going ahead?
Peter Oey: Sachin, we’re not [indiscernible] what growth rate in terms of all – across all our business today. What you are seeing is an acceleration of growth in our Deliveries business. We did 16% year-on-year on a constant currency basis, and it was 14% on a year-on-year growth we recorded in the prior quarter. And if we continue to execute with all the product sets that we talked about, driving frequency, driving order value also, we continue to make sure that the customers are getting what they want from a price perspective as well as from a product selections perspective, and we're able to continue to cross-sell the customers also we feel good that the Deliveries business will continue to grow sustainably. So that's where we're focused and making sure that the customers also and our merchants are also benefiting from all these product investments that we're making.
Alex Hungate: Yes. And Sachin, just to jump in, in terms of a trading update on October and first part of November, we are seeing an acceleration in the Deliveries GMV growth. So we'll keep pushing with the strategy that Peter and Anthony just laid out.
Sachin Salgaonkar: Perfect, thanks a lot.
Operator: Our next question comes from Alicia Yap with Citigroup. Your line is now open.
Alicia Yap: Hi. Thank you. Good morning, management. Thanks for taking my questions and also congrats on the solid results and also the guidance. Two questions. First is that, I understand the growth in Mart is faster than Food, like 1.7x faster. So it is the main driver on the cross-selling. So wondering, do you anticipate the faster growth in Mart right now could eventually also help to increase the faster growth in food in coming months. So for example, where maybe in one quarter in the future, could we actually see the frequency and order volume growth in Food growing faster than Mart? So that's the first question. And second question is a follow-up on the incentives. So we saw that the incentive, especially on the consumer front, it's actually increasing at a faster rate. I understand, I think Alex mentioned earlier, some of that is actually necessary when you have the new product launch and all that to drive obviously use that awareness and also the conversion. So just wondering on the back, some of these incentives potentially could actually scale back in the future quarters. If that is the case, it actually could actually translate into a very strong margin improving trends in the coming quarters. So just wondering would you consistently rolled out some new products that you actually wanted your margin improvement at a more steady-stage or we actually could see in one quarter, if the scale back more than you expected, then you actually see a jump in the EBITDA margin. And lastly, is that anything on the improvement in AI and technology in driving the efficiency is actually helping your improvement in the margin? Thank you.
Alex Hungate: Thanks, Alicia. Yes, some really good questions there. The Food and Mart users have a 5x higher order frequency than just food users. And that's the key effect that we're going for as we push the cross-sell into mart. So not only does it drive the mart GMV stand-alone, but it also drives the flywheel where we're getting users in the app much more frequently. And then that allows us to then push the consumer behavior to use the app for dining out as well. So you can see actually – our strategy is to have much higher use of frequency, much higher share of mind for the – and that helps us to drive GMV across all three of those initiatives. So the Food business, the Mart business, and then finally, the dining out part of the business. Incentives to drive that consumer behavior, particularly into the dining out choices that consumers are making. That's very important for us. And you're right, it has resulted in a little bit of an increase quarter-on-quarter and year-on-year on incentives. We've also – we are also in the process of integrating Chope, which is the food reservation system that we bought that was present in Singapore, Thailand and Indonesia. That's a key part of our platform because if you think about the user journey, they go into the app, they look at the different deals and choices they have for dining out. They then need to make a reservation and before they go to the restaurant. So it's a perfect gap filler and time to market for us. And we can – with our footprint we can actually expand the reservation footprint across multiple countries now using our existing sales teams to sign up the merchants. So that's also part of the data flywheel that we're generating for high-frequency, food usage. And I think, Peter, you wanted to follow-up.
Peter Oey: Yes. Let me address Alicia, your question around incentives. I think that was an earlier question for Mark also on this point. But the way to think about incentives is a lever for us. And quarter-to-quarter, these incentives, whether it's on the consumer side, whether it's on the partner side, we'll move up and down. And in the last – if you remember last quarter, in Q2, we had a discussion around mobility margins also. And I made a statement that we are investing into the mobility, high-value rides all the new products and what you're seeing in the third quarter is some of those coming into play on those product sets. So we'll continue to make those investments, Alicia, where we feel it's right. Again, we're driving a long-term business here. We're driving, again, frequency. We're driving retention. We're driving engagement across all our product portfolio, which is really critical. And you will see those movements in a quarter from quarter-on-quarter perspective of incentives. We'll make those investments also not just incentives, we'll make them up and down the P&L line. And these investments into this new product is really important because it really drives scale. It really drives also efficiency at the same time. Now while I'm saying all that also, we're also keeping on very close eye on unit economics of our business and the unit economics translate especially around the margins. So we will see where there's opportunities to improve margins, we will definitely improve those margins. And you've seen this in the Deliveries margin, moving from where it was same time last year, it was 1.1%. And now we're at close to 1.8% for the last and then we improved from 30 basis points from a quarter-on-quarter perspective. So we take a very balanced approach in really growing the topline engagement and frequency but also in driving profitability at the same time.
Anthony Tan: I'll just add to what Peter shared on the AI front. In fact, we've been doing machine learning and AI for – since the very beginning. We have over 1,000 AI/ML models in production one of the highest in the region and it touches every part of our product. So we are actually very, very excited about GenAI, whether it's about margins, whether it's about growing and improving efficiency, as Peter mentioned. In fact, with GAI, we actually see a step change on development, whether it's developing product development velocity, so specifically. So if you look at the Swiss Army Knife that we built with LLMs, we can handle a wide variety of tasks versus just having very specialized model. So one, for example, the food knowledge graph where we actually use LLM for labeling, that just drives higher and higher efficiency. Another example is where we're using GAI to unlock new frontiers of productivity. In the past, for example, our sales enabled team would spend a full day just working on slides for your key customer accounts. And today, we can get that done in minutes. So we're very, very excited. If you just look at Mystique, we talked about this before, our GenAI copywriting tool that helps improve conversion by 2x, increasing engagement by 50% amongst users. So lots and lots of these examples, the goals are along all across Grab that will continue to drive greater cost synergies while ensuring a better customer experiences.
Operator: Our next question comes from Divya Kothiyal with Morgan Stanley. Please proceed.
Divya Kothiyal: Thank you very much. The first question I had is just on the Mobility margin. I mean we've seen that improve when you've attributed it to better mix. You did comment earlier on Indonesia, but I'd be keen to hear your comments on the competitive landscape, especially related to Singapore, Vietnam and Thailand, where we have seen new players come up. Could you just comment on how you see your market shares in those markets and if there's any risk from competition in these markets to the margins? The second question is related, maybe a little bit to what you just talked about. On overall group corporate costs, Grab has done really well this year. We've managed to reduce that by 10%, 11%. And I'd like to hear your thoughts going into 2025. Do you think that we have scope to reduce this further either through AI? Or is it going to be more operating leverage driven? And any callouts on cost inflation that we should be looking out for next year? Thanks.
Alex Hungate: Okay. Thanks, Divya. Let me take the first question on competition. You're right, there have been a couple of announcements of new competitors in the region in the last quarter. Similarly, we've had Jericho announced – sorry, we had Gojek announced that they're pulling out of the Vietnam market. So the region is competitive. It's always been competitive with people coming in and out. I think the key part of our strategy, and the reason why you've seen the improving margin plus the strong growth is that we've got very high operating leverage. So we we're in a position where we're using our scale to push out the reliability and affordability frontier all the time. So the AI that Anthony was talking about helps us to optimize even faster. And we are doubling down our investment in making sure that we improve services and reliability for our customers at the same time as we make the rides more affordable and at the same time, make sure our drivers take home more earnings. So when you are large, you can do that much more efficiently. And you can see not just in Southeast Asia, where we are 4x bigger than our next biggest competitor. But also in almost every other part of the world that the returns to scale to the largest player are there in these platform businesses, we are aware and we monitor very closely whenever there are new entrants into the market. There's always a number of small players in every market. But we have found, particularly now that we have, we have the variable commission model for drivers. We are in a very strong position to be able to fine-tune the market, make sure those the supply does remain loyal to Grab and that makes it hard for the new entrants to gain traction from the point of view of attracting driver supply.
Peter Oey: Divya, on your question around regional corporate costs, I mean, you know we've seen that we've done a lot of work around optimizing the business, and we'll continue to do that in operating, making sure that we continue to have operating leverage is critical in this business. So we're going to continue to drive that. In terms of corporate costs there, you will see from a dollar perspective, an uptick, and you saw that in the third quarter. And that's tied to volume also, because as the business continues to grow, we're seeing traction at the top of the funnel. We're seeing the number of orders also increasing also. There are variable pieces in the regional corporate costs. If you remember, about 40% of our corporate regional corporate costs are tied to variable. Those variables actually will move up also as the volume picks up at the same time. And from a fixed cost perspective, also there will be certain times when we will make some additional investments such as what Anthony talked about around GenAI, which has been a critical part in driving productivity and also efficiency in the business today. So we want to make sure that we do have operating leverage. That's really important. When I look at regional corporate costs, I look at it versus rather than dollar, I look at it as a percentage of revenue to make sure that we are continuing to drive efficiency in our business and making sure that, that level of leverage continues also in the outer years. So I hope that gives you a bit of color on how I think about regional corporate costs.
Operator: Thank you. This concludes Grab's third quarter 2024 earnings conference call. Thank you for your participation. You may now disconnect.